Operator: Good morning. My name is Angel and I'll be your conference operator today. At this time, I would like to welcome everyone to the AGCO 2016 Second Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Greg Peterson, Head of Investor Relations, you may begin your conference.
Greg Peterson - Director-Investor Relations: Thanks, Angel, and good morning. Welcome to those of you joining us on the call for AGCO's second quarter 2016 earnings conference call. We will refer to a slide presentation this morning, which is posted on our website at www.agcocorp.com. There are non-GAAP measures used in the slide presentation and they're reconciled to GAAP measures in the appendix of the presentation. We'll also make forward-looking statements this morning, including demand, product development and capital expenditure plans and timing of those plans, acquisition, expansion and modernization plans, and our expectations with respect to the cost and benefits of those plans and timing of those benefits, production levels, share repurchase and our future revenue, price levels, earnings, cash flow, tax rates and other financial metrics. We wish to caution you that these statements are predictions and that actual events may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2015 and all subsequent Form 10-Qs. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. A replay of this call will be available on our corporate website. Now, on the call with me this morning are Martin Richenhagen, our Chairman, President and Chief Executive Officer; and Andy Beck, our Senior Vice President and Chief Financial Officer. Martin, please go ahead.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Thank you, Greg, and I hope that one day you learn how to pronounce my last name properly. It's not Riken-hagen, it's Rishen-hagen. We appreciate everyone joining us on the call today. My comments start on slide three where you will find a summary of our second quarter and year-to-date results. Global demand for our agricultural equipment declined during the second quarter, as lower commodity prices continue to impact our industry. We felt the effects of weaker market demand, low production levels and currency headwinds, which resulted in AGCO's sales decreasing approximately 4% compared to the second quarter of 2015. AGCO's performance demonstrates our ability to deliver very solid results despite difficult market conditions. Our quarter was highlighted by strong execution and our cost reduction, working capital initiatives. Despite the low level of production and the weaker sales mix, our gross margins held up well compared to the prior year, down only 30 basis points. We are also managing for the long term during this weak demand period by upgrading and expanding our product line and improving service levels for our customers. You can see evidence of these investments through our higher engineering spend and with our recently announced acquisition of Cimbria. The acquisition will extend GSI's grain storage and seed handling business into a leadership position in Europe now. We are also making good on our promise to return cash to shareholders. During the second quarter, we paid a higher dividend compared to the second quarter of 2015 and made progress on our share repurchase program. Slide four details industry unit retail sales results by region for the first six months of 2016. The outlook of healthy global crop production, especially in commodity prices, and estimates call for 2016 farm income to be at or below 2015 levels. In North America, relatively young machinery fleet and dealers' efforts to reduce inventory levels have contributed to a continued decline in our industry sales through the first half of the year. Weaker demand from the row crop sector resulted in significantly lower industry retail sales of high horsepower tractors, combine harvesters and sprayers. First half industry retail sales in Western Europe declined more modestly from 2015 levels. Profitability remained strained for dairy producers, hurting equipment demand, while lower commodity prices kept market demand soft for the arable farming segment. Significantly lower industry retail sales in Germany and the UK were partially offset by increases in France. Regional industry demand declined most significantly in South America during the first half of 2016. In Brazil, political and economic uncertainty is curtailing investment in farm equipment. More supportive government policies in Argentina have contributed to higher sales in that market finally. ACGO's 2016 production schedule for factory production hours is shown on slide five. We lowered the seasonal build in our company and dealer inventories during the first half of 2016. Production hours declined about 8% in the first six months of 2016 compared to the same period of 2015. The lower production resulted in lower inventories but also contributed to weaker earnings compared to last year. We expect production to be down more modestly for the remainder of 2016, and we expect full year production to be down about 6%. Globally, our board of tractors is up slightly at the end of this June compared to June 30, 2015. They were higher in North America due primarily to low horsepower tractors, flat in EAME and up in South America due to the very low levels last year. I now will turn the call over to our CFO, Andy Beck, who will provide you more information on our second quarter results.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Thank you, Martin, and good morning to everyone. I will start on slide six with a look at AGCO's regional net sales performance for the second quarter and first six months of 2016. Weaker industry demand pressured sales results during the quarter especially in North and South America. The negative impact of currency translation moderated and reduced second quarter sales by 2.5% compared to the second quarter of 2015. For the second quarter of 2016 the Europe/Africa/Middle East segment reported an increase in net sales of approximately 5%, excluding the negative impact of currency translation, compared to the second quarter 2015. Sales growth was strongest in Scandinavia and in France. North American sales were down approximately 10%, excluding the unfavorable impact of currency translation during the second quarter of 2016 compared to the levels experienced in the second quarter of 2015. Lower sales of high horsepower tractors, hay tools, as well as grain storage and handling equipment, were partially offset by growth in small and mid-sized tractors. AGCO's second quarter 2016 net sales in South America were down approximately 14% compared to the second quarter 2015, excluding negative currency translation impacts. Significant sales declines in Brazil and other South American markets were partially offset by strong growth in Argentina. Net sales in our Asia Pacific segment increased about 26% in the second quarter 2016 compared to 2015, excluding the negative impact of currency translation. Significant growth in China and Australia accounted for most of the increase. Parts sales were $345 million for the second quarter of 2016, which grew approximately 3% compared to the same period in 2015, excluding the negative impact of currency. Slide seven details AGCO's sales and margin performance. Our second quarter results were highlighted by solid margin performance, especially in our EAME and APAC regions, where operating margins improved during the second quarter compared to the same period in 2015. Consolidated second quarter operating margins were negatively impacted by lower levels of demand and production, a weaker sales mix, and higher engineering expenses. These impacts were partially offset by our ongoing efforts targeted at labor productivity and material costs. The Europe/Africa/Middle East segment reported operating margins of 12.1% during the second quarter of 2016, up modestly from the second quarter of 2015. The benefit of higher sales and production were mostly offset by weaker sales mix and higher engineering expense. North and South America's operating margins were significantly lower in the second quarter of 2016 compared to the same period last year. The negative impacts associated with lower sales and production and a weaker sales mix contributed to the decline. Margins in the Asia Pacific region improved significantly, as production continues to ramp up in our new Chinese manufacturing facility. Slide eight details GSI sales by region and product. GSI sales were up about 8% excluding currency impacts, and including the benefit of acquisitions for the first half of 2016 compared to the same period last year. Growth in protein production sales across all regions on a constant currency basis was partially offset by declines in grain storage equipment in North America and Europe/Africa/Middle East. We are targeting a GSI sales increase of approximately 8% compared to 2015 for the full year of 2016. This is also down approximately 5% excluding the acquisitions. As Martin mentioned earlier in June, we announced the acquisition of Cimbria Holdings for approximately $340 million. Cimbria, based in Denmark, is a leading manufacturer of processing, handling and storage equipment for seed and grain. The transaction is subject to regulatory approval and is expected to close in the third quarter of 2016. Cimbria sales, which are expected to reach approximately $240 million in fiscal 2016, are concentrated in Western Europe, with growing exposure to Eastern Europe, Africa and Middle East. With margins similar to GSI, the acquisition of Cimbria provides us an attractive opportunity to grow our business and expand our margins. We expect the transaction to have minimal impact on 2016 results, but be accretive to earnings per share in 2017. Slide nine looks at increased investments we have made in our business over the last decade through both capital expenditures, and research and development. After completing a major plant productivity projects, meeting Tier 4 emissions requirements in both Europe and North America, and making heavy investments in new products, we have reduced our CapEx and R&D programs during 2014 and 2015. However, we are continuing to make strategic investments to refresh and expand our product line, upgrade our system capabilities, and improve our factory productivity. Despite the softer demand environment, we intend to increase the level of investment to execute our product development plans, resulting in an increased CapEx and engineering spend in 2016. We expect our engineering expense to reach 4.2% of sales this year. Our spending plan in 2016 is needed to maintain our competitiveness and to support the long-term growth of our business. Slide 10 addresses AGCO's free cash flow, which represents cash from operating activities less capital expenditures. Our seasonal requirements for working capital are greater in the first half of the year and thereby result in negative free cash flow for both the first half of 2015 and 2016. We are targeting inventory decreases by the end of the year in North America and Europe/Africa/Middle East, offset by increases in South America, to build the necessary Tier 3 emissions transition inventory. After covering spending on our strategic investments and the South America Tier 3 inventory, we are targeting another strong free cash flow year for 2016. At June 30, 2016, our North America company and dealer inventories were lower than they were a year ago. However, due to declining market demand, the dealer months supply on a trailing 12-month basis was relatively flat for both tractors and combines. Tractor inventories were in the seven and a half month range and combines were about eight months. Also, losses on sales receivables associated with our receivable financing facilities, which are included in other expense, net, were approximately $4.7 million during the second quarter of 2016 compared to $4.4 million in the same period of 2015. We continue to make cash returns an important component of our long-term capital allocation plan. In the second quarter, we repurchased approximately 60 million shares under our current authorization. We expect to complete the remainder of the $500 million authorization during 2016. Moving on to the next slide, our 2016 outlook for the three major regional markets is captured on slide 12. Our forecast is unchanged from last quarter and anticipates softer market conditions in all three regions. In the United States, the USDA estimates the farm income will be down again in 2016 and as a result, our North American industry forecast calls for a decline of 10% to 15% from 2015 levels, with a more significant decline in higher horsepower equipment. Our forecast for South America region expects demand to be down about 15% to 20% from 2015 levels. Political instability, economic weakness, and uncertainty on the funding levels of the government-subsidized financing programs in Brazil are expected to contribute to the weaker South America industry demand in 2016. Lastly, we expect a decline in the Western European market due to lower dairy and cereal prices that are expected to pressure farm income in 2016. Slide 13 highlights the assumptions underlying our 2016 outlook. While we are optimistic about the long-term growth opportunities for our industry and our business, the priority for 2016 continues to be managing our costs, lowering our dealer inventories to better align ourselves with current market demand. Our 2016 forecast assumes softer industry demand across all regions and a sales decline of about 4%. Our plan includes price increases of approximately 2% on a consolidated basis, and at current exchange rates, we expect currency translation to negatively impact sales by about 2%. In 2016, engineering expense is expected to run about 4.2% of our sales which amounts to an increase of about $15 million on a constant currency basis compared to 2015. We also look for lower sales and production and a weak sales mix to negatively impact gross margins. These negative impacts are expected to be partially offset by the benefit of new products and our productivity and purchasing initiatives. As we mentioned in our press release this morning, during the second quarter of 2016 AGCO recorded a noncash adjustment to establish a valuation allowance against its U.S. deferred net income tax assets of approximately $31.6 million or $0.39 per share. As a result of this change in accounting treatment in the U.S., our effective tax rate will increase in subsequent quarters. In the second half of 2016, we are targeting an effective tax rate in the mid-30% range. Excluding the charge we took this quarter, we are now forecasting an effective tax rate for the full year of between 32% and 34% for 2016. Slide 14 lists our view of selected 2016 financial goals. We are projecting 2016 sales to be about $7.2 billion with softer market conditions reducing overall sales volumes. This impact is expected to be partially offset by pricing and modest market share gains. We expect gross and operating margins to be down from 2015, reflecting the negative impact of lower sales volumes and a weaker sales mix. The benefit of our cost reduction efforts are expected to be partially offset – partially offset the volume-related impacts. Based on these assumptions, we are targeting 2016 adjusted earnings per share of approximately $2.30. We expect capital expenditures to be around $250 million and free cash flow to range from $150 million to $175 million. In the third quarter of 2016, earnings per share are expected to be lower than reported for the third quarter of 2015 due to lower production levels, a weaker sales mix, increased engineering expenses and a higher tax rate. Third quarter 2015 earnings per share are expected to be in the $0.30 to $0.35 range. And with that, operator, we're ready to take questions.
Operator: Your first question comes from the line of Joe O'Dea with Vertical Research. Your line is open.
Joe J. O'Dea - Vertical Research Partners LLC: Hi. Good morning. Could you talk about order trends in Europe over the course of the quarter, and maybe in particular in France where it looked like some of the registration data in tractors shifted negatively in June, and we have some of the impact from incentive programs that are maybe less of an influence currently. So just trying to gauge what you saw in Europe over the course of the quarter.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Sure. Overall, our order board in our Europe/Africa/Middle East business is relatively flat, and so basically, the market's been relatively flat in the first half of the year. In the second half of the year, particularly in France, we expect the market to decline a little bit. If you recall, the fourth quarter of 2015 was very strong in France because they initiated this tax subsidy that gave farmers additional depreciation on their purchases and so the market was up very strongly in that fourth quarter. So we don't – because that program's been running throughout the full year now of 2016 and we had a strong 2015 ending, we are looking for that market to moderate. The French market's up 13% year-to-date and now it's expected to be modestly up by the end of the year. So that reflects the decline in the second half mainly due to tougher comps. So the market we think's still pretty good, but it's tough comps that we're comparing ourselves against.
Joe J. O'Dea - Vertical Research Partners LLC: Okay. And then just related to Cimbria, is the $7.2 billion revenue guide, does that include the deal or will that be adjusted after the deal closes? And then I guess also related to that, are there any sort of deal-related costs that extend into 2017 or should we be thinking about a $0.10 earnings lift in 2017 related to that deal?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Our revenue guidance really doesn't include it, but we don't expect a significant amount of revenue from that deal this year. Fourth quarter's kind of a light quarter for that business, so I would expect again it not to be very impactful to our results this year. In terms of costs in 2017, there shouldn't be any costs really related to the closing of the transaction. We'll obviously be working heavily on integration during 2017, so we'll be able to update everyone once we get in – own the business and start developing plans with that business. But as we've said before, we do expect it to be accretive in 2017.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: And the $0.10 number looks okay.
Joe J. O'Dea - Vertical Research Partners LLC: Great. Thanks very much.
Operator: Your next question comes from the line of Stephen Volkmann with Jefferies. Your line is open.
Stephen Edward Volkmann - Jefferies LLC: Hi. Good morning, guys. Maybe just a follow-up. Andy, I think you mentioned $0.30 to $0.35 in the third quarter. Obviously, that implies a big ramp in the fourth quarter. Can you just sort of talk about what has to happen sort of 3Q to 4Q to kind of make that work?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Sure. What we see happening is, first of all, if you look back into the fourth quarter of 2015, it was a very weak quarter particularly in our South America business but also in our North America business. And in South America, really for the whole second half, we start to see things improve on a year-over-year comparison, starting to see that market at least firm up a little. And we're getting – we'll have a little more production and we'll see our sales start to increase in the second half of this year. And so that's a good source of improvement that you'll see, particularly in the fourth quarter. And also in North America, we had a relatively weak fourth quarter last year. We have some new products coming into the market in the fourth quarter and a lot of our production corrections won't be as drastic as compared to the prior year. And so we expect the North America business to be improved in the fourth quarter as well.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Steve, we are very confident that we will deliver.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: And so those are the key areas where we see that fourth quarter starts to look better.
Stephen Edward Volkmann - Jefferies LLC: Do you think you could have up revenues year-over-year in the fourth quarter?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah, we're projecting that our revenues are slightly up in that fourth quarter.
Stephen Edward Volkmann - Jefferies LLC: Okay. Great. That's helpful. And then maybe just a philosophical one. Your decremental margins have been very low and impressive so far this cycle, they were a little bit bigger in the quarter here in the second quarter. And I just wonder if we're starting to get to that point where incremental cost saves are getting tougher, or is it just sort of the law of small numbers that we had in the quarter here.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: I think it's a little bit of both. Certainly we're a year or around away (25:10) from a lot of those major expense reductions and cost cuts that we did a year ago. And although we're still working hard on cost cutting, we don't have as much major cost cutting efforts going on this year. So we're kind of more flattish in terms of our overall cost structure. And as a result, as you say, with the revenues coming down more and everything else being somewhat flat, you really see it kind of hitting the leverage on our margins. And so that's what's happening. And then again, we can't really emphasize enough how much mix plays into some of the margin decline. We're seeing nice improvement in a lot of the low horsepower business and then declines in some of our high margin, high horsepower business, and that really does take a shock to the margins as well. So all in all, it's really what we expected to do. We're still really working hard at finding new approaches to cutting costs but again, we're looking towards the future and we want to invest in our business as well. So we're cutting places and reinvesting in others, and that's really what's happening right now.
Operator: Your next question comes from the line of Steven Fisher with UBS. Your line is open.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning. When I look at your industry year-to-date numbers for Europe and then compare it to your results, you're certainly outperforming the market there nicely. Can you talk about what you think the key actions you're taking that are driving that, and how sustainable it is? Is it new products? Is it pricing? I mean, obviously, your margins are holding up, though I'm not sure if it's cost cuts offsetting pricing. What's really happening with the outperformance in Europe?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Well – yeah. Greg, why don't you cover that?
Greg Peterson - Director-Investor Relations: Yeah. So some of it has to do with where we're regionally stronger. As we talked about earlier, France has been unusually strong in the first half of the year and we have a very strong market presence there. And then on top of that, we've had a number of new product introductions across the region that have helped us. So I think it's been a combination of where we're strong and where the markets have been healthier.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: But in addition, I would like to say we have an excellent management team in Europe compared to other players, and that helps.
Steven Michael Fisher - UBS Securities LLC: And so with these incentives in France, I mean do you have a sense of what the implications would be for, say, 2017 for the French market? Are they underinvested enough there to keep that going without the incentives? Or is this just sort of a pull-forward, leaving some risk ahead?
Greg Peterson - Director-Investor Relations: Yeah, Steve, a lot of it I think depends on the way the year winds down in Europe in terms of crops and farm income. That certainly will be a big driver of next year's forecast. And then also, as the Common Agricultural Policy continues to evolve, that'll continue to be supportive, we think. And so that, over the long term, should help us.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: What the Europeans talk about is major subsidies for the dairy farmers. We do not know yet exactly how they will work, but I think, overall, we should expect some kind of positive tailwind from this. In France, in general, I think that the market might flatten out a little bit. But on the other hand, France is also not a market which has such a new fleet like other markets in Europe. Like, for example, Germany. So therefore, I think the market, I think, also for next year will be stable. And the French government tries to also do things in order to satisfy the farmers, because rural France is still very, very important when it comes to elections.
Steven Michael Fisher - UBS Securities LLC: Okay. Just lastly, in North America, how do you think the bigger than expected crop and now lower corn prices are shaping your North American expectations relative to what you had at the beginning of the year? Because you didn't change the industry outlook for large, so how is that shaping up?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yeah. I think it's a mixed picture, so that means there are certainly farmers who will be in a record harvest. And so, even with lower corn or crop prices, they still will be very, very profitable. And then on the other hand, there are farmers who benefit from it. Everybody who has then (29:57) chicken, pigs and so on, of course enjoys lower commodity prices. So therefore, it's a very, very difficult picture, and very interesting to understand. But overall, what we know is that farm income is very important. I think that farmers in America still have money and still want to invest, but maybe not on the record level we saw maybe between 2010 and 2013.
Steven Michael Fisher - UBS Securities LLC: Thank you.
Operator: Your next question comes from the line of Ann Duignan from JPMorgan. Your line is open.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Well, we're even, Martin. They can't seem to pronounce either of our names, so...
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yeah. It's not only me, Ann. Remember... (30:47)
Ann P. Duignan - JPMorgan Securities LLC: It's not only you. You're in good company.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: And normally, you would think that they can speak Irish perfectly here in America.
Ann P. Duignan - JPMorgan Securities LLC: Yes, you would think so. My question is back to Europe. As we look at the fundamentals, one of the big risks that we see, talking to our industry sources, is – you mentioned the Common Agricultural Policy and the budgets. The UK was a big contributor to that budget, and there is a significant fear that that budget is now going to be revised downward for European farmers. Can you just talk to that, and why we should forecast any kind of upside in Europe for next year? If we look at the fundamentals in cereals and dairy, yeah, there may be a bailout coming, but the fundamentals don't look great over there, and you've got tough comps.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yeah. What I know is, I personally talked to the Minister of Agriculture of Germany, France, Poland, and some other countries which are not as relevant, and what I see is that there's a strong will, so to say, to not reduce subsidies for those markets – and I think they can finance it, so you know that there are some – Germany's extremely strong. And then I think that, in the UK, in order to avoid any major problems with Brexit, the government wants to – I met the Secretary of Agriculture of England, who is actually – no, I shouldn't make that comment in public – but I think they will try to basically replace European subsidies by British subsidies. That's at least the plan. So I don't think that we will see a huge upswing next year in Europe, but I also don't see a big downswing either.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Thank you for the insight. In North America, as you continue to acquire more grain handling and storage businesses, or at least grain handling businesses, just more of a philosophical question, Martin, do you really need to be in the high horsepower sector in North America?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yes, because we have an outstanding product, so there's no reason – we don't spend additional engineering money to be in that business, and we have actually in this segment a very strong position, and that's the reason why we launched the Challenger 1000 in America. We actually – we do get a lot of positive reaction, and we could sell much more if we would have the capacity, but we just ramped the production up. So I think it's a very attractive business to be in.
Ann P. Duignan - JPMorgan Securities LLC: And do you expect you'll have to under-produce retail going into 2017 in high horsepower?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: No, we will overproduce. Our problem for 2017 is that we do not have enough capacity for the very high horsepower tractors.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I appreciate that.
Operator: Your next question comes from the line of Millie Passiwallah (34:14) with Morgan Stanley. Your line is open.
Unknown Speaker: Thanks. Good morning. My question is on used equipment inventory. So can you provide an update around this? One of the tire manufacturers made some comments this morning that dealers have been moving used equipment inventory, so I wanted to gauge how you think the industry is progressing here.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: And I first want to talk about (34:37) then I hand over to Greg. But I think our dealers in AGCO, we are in a leading position here because we adjusted our inventories very early and managed dealer inventories very well. So with this, I hand over to Greg.
Greg Peterson - Director-Investor Relations: Right. So we've seen a pretty significant decrease and expect to see by the end of the year a significant increase (sic) [decrease] (34:59) in our dealer inventories for both new and used equipment.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Decrease.
Greg Peterson - Director-Investor Relations: A decrease. I'm sorry, a decrease in inventory, both new and used in our dealers in North America. Our high horsepower tractors are down about 30% year-over-year at the second quarter, and we expect to maintain that through the end of the year. In total, we expect our dealer inventories to be down somewhere between 15% and 20%, both new and used. So we do expect to continue to make progress and we're working hard to do that.
Unknown Speaker: Got it. Thanks. And then just as a follow-up, if we look at regions outside of North America, one of your competitors had highlighted excess used equipment inventory in certain pockets within Europe. So could you just comment if you're seeing that and where that would be?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: We can't talk or comment on inventories of our competitors so much, but we have certain competitors who certainly have enough product available, not used, but also new, so that's not our problem.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. Our used inventories – I mean, our dealer inventories in Europe are relatively flat year-over-year, so we don't see any major problems with our inventory levels at our dealers in Europe at this time.
Unknown Speaker: Okay. Got it. Thanks. I'll get back in queue.
Operator: Your next question comes from the line of Adam Uhlman with Cleveland Research. Your line is open.
Adam William Uhlman - Cleveland Research Co. LLC: Hi. Good morning. I guess to start with a clarification on the guidance for the year. You raised the revenue guidance just by a little bit, but I think you also reduced your production hours forecast just by a touch, so I'm wondering what's behind the higher revenue forecast.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: We're just – we're – have made a few changes, particularly a little increase in South America because that market, as I commented, has firmed up a little bit and just really sharpening up where our forecast ends up with in all our regions. From a production standpoint, that can change for a number of reasons in terms of mix of markets and factories and things like that. So there's really been no major changes to our production plan from quarter to quarter.
Adam William Uhlman - Cleveland Research Co. LLC: Okay. And then separately, in North America, you've seen some pretty good growth in small tractors. I'm wondering if you think that that persists into the back half of the year. And maybe you could talk about small tractor inventories, how the industry or your dealer inventories are performing relative to how you like it?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Well, one thing is we basically are in the process of launching the Massey Ferguson Global Series of tractors which is a brand new, leading design in that industry, so that will certainly help us. Then second, I also think that you will see some growth in the high horsepower tractor segment in Brazil. So it's not only small tractors. When it comes to inventories, for us it's not an issue. So the demand for the new series is very strong and we almost have zero inventories in that area, neither in the factories nor at the dealerships.
Adam William Uhlman - Cleveland Research Co. LLC: Okay. Thank you.
Operator: Your next question comes from the line of Andy Casey with Wells Fargo. Your line is open.
Andrew M. Casey - Wells Fargo Securities LLC: Good morning, everybody.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Morning, Andy.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Andy.
Andrew M. Casey - Wells Fargo Securities LLC: Good morning, Mr. Richenhagen. Did I get it right?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Ah, you need to reverse with Greg.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Anyways, a question on your GSI forecast. It looks like it moderated a little bit from earlier in the year. It's now up 8%. I think earlier it was up 10%. What's driving that?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. Andy, we're seeing relatively weak conditions in the grain sector, particularly in North America. There's different parts of that business. First of all, there's the storage piece of the business, and we were still doing pretty well in terms of commercial activity. That seemed to have slowed down. The on-farm business has been slow as well. And then the other aspect that's hurting us is very weak conditioning equipment sales. The conditioning equipment's about 20% of our grain business, and that's a very high margin business. And with the crops, it was very dry last year and so there weren't a lot of hours put on the conditioning equipment. And that's affected demand this year and everyone's expecting again a relatively dry crop. And so for those reasons we're just not seeing the demand in that sector of the business. So the thing that's come off is the grain business in North America. Everything else is according to plan. Our protein production business is up, the acquisitions that we've done are performing well. So it's just that one segment, and unfortunately, that's a important profitable segment for us is performing weak just because of the current market conditions in North America.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thanks, Andy. And if I could follow up on that. North America, as it stands now, looks like it's – we're looking at a fairly substantial crop. Is there any likelihood that even with the decline in farmer income, or whatever, that you'd see a little bit of a reversal? I'm just wondering where the farmers are going to put all this stuff.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: In GSI silos, I hope.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yes. That's what we are hoping as well. Right now, current order situation wouldn't suggest that we're seeing that, that's certainly logical. But given their income levels, there's a lot of hesitancy to invest right now.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thanks.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: What you need – let's say what we need to find out is on one hand, prices certainly are not very attractive. On the other hand, volume will be high. So that means there are – there certainly will be farmers who will enjoy a higher farm income than last year, even with lower prices.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thanks. And if I could sneak one more in, there's a lot of concern about disruption over in the UK, and you've addressed some of that. I'm just wondering if the currency decline over there has caused any short-term demand (42:06)
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yeah. It's a good question. So in our case, we do not have any factory there. We have some centralized European headquarter functions in IT and finance and so on because of the language. We are looking into this and I think in the long run, my personal philosophy is that there should not be any EU-related function in the UK whatsoever. So which gives us the opportunity to also move these jobs into more attractive low-cost or lower-cost regions of Europe. When it comes to importing, to – well, you saw that Marchionne announced that he will close down his New Holland factories in England, which means that we basically – yes, he did, Mr. Beck, you need to read the news. So when you see that, there will be no local manufacturer of farm equipment, so that means nobody will have a different situation when it comes to exchange rates. So product will become more expensive. If the pound will stay at those low levels, English farmers have to pay more.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you very much.
Operator: Your next question comes from the line of Ross Gilardi with Bank of America. Your line is open.
Ross P. Gilardi - Bank of America Merrill Lynch: Hey. Thanks a lot.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Morning, Ross.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Morning.
Ross P. Gilardi - Bank of America Merrill Lynch: I just wanted to get back to France. So can you say like what percentage of EMEA sales it is year to date this year? Because obviously, even the country mix has shifted around quite a bit in the last year or two?
Greg Peterson - Director-Investor Relations: Yeah, so In a normal year, Ross, it's about 25%. France would be 25% of our EAME sales. So this year, with the outperformance, it's going to be up from that, probably in the 35% to 40% range.
Ross P. Gilardi - Bank of America Merrill Lynch: Okay. And it strikes me that at least in the first quarter, I thought you guys were up like 30% to 40%. You said that the industry was up 13% in the first half. So did it flatten out in Q2? Were your French sales actually up like 20% to 30% in the first half of the year?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Our sales were up in the first half about a little over 20%.
Ross P. Gilardi - Bank of America Merrill Lynch: Okay.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah.
Ross P. Gilardi - Bank of America Merrill Lynch: Thank you. And then what's driving the strength in Scandinavia?
Greg Peterson - Director-Investor Relations: Well, if you go back several years and think about what the crop and farm income looked like in Northern Europe, our sales were down pretty significantly. So I think some of it is age of the fleet. I think that's probably the biggest part of it actually.
Ross P. Gilardi - Bank of America Merrill Lynch: So do you feel like the strength there is a bit more sustainable despite what's going on with global grain prices? And what's Scandinavia as a proportion of revenue year to date?
Greg Peterson - Director-Investor Relations: Yeah, Finland and Scandinavia combined is the way we usually talk about it, and that's about 10% of our EAME sales, roughly.
Ross P. Gilardi - Bank of America Merrill Lynch: Got it. Thanks. And then on dealer inventories, clearly, you made some positive comments and you guys have made some progress, but I'm trying to triangulate that with your comments on months supply because I think that you said seven, eight months for both (45:54) tractors and combines, which I think has got to be higher than what you've said over the last six months. So is the situation – obviously, in an absolute sense, they're coming down, but on a months supply basis, do you feel like the situation is still deteriorating, or is it getting better?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: No, I mean, you're right. We're bringing it down on an absolute basis, but the demand is coming down kind of at the same proportion, so we're not making any progress. We're seeing it be relatively the same. So once demand kind of levels off, then we'll obviously stop chasing this situation. Obviously, we think we will be in pretty good shape by the end of the year, but we'll have to see where we are and what the market looks like next year, to know whether we're finished with our reductions or we have more work to do.
Operator: Your next question comes from the line of Larry De Maria with William Blair. Your line is open.
Lawrence De Maria - William Blair & Co. LLC: Thanks. Good morning. Just two questions. Can you help bridge the gap? Obviously, sales are looking a little bit better this year, but no change to the EPS guide. I know tax rates is only a small headwind. So can you bridge that gap? And secondly, looks like production was down less than expected in 2Q year-over-year, it was actually up sequentially. Why was that, and in which regions did you produce more that would have driven that? Thanks.
Greg Peterson - Director-Investor Relations: So, Larry, your first question on tax rate and guidance. So we – for the full year, we're now looking for tax rates between 32% and 34%, which is actually up from last quarter, we said 30% to 32%. So in terms of our guidance, we did raise our sales guidance but didn't raise our EPS guidance, and some of the reason for that is that we are expecting a roughly 2% increase...
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: You could see that as us being also conservative.
Lawrence De Maria - William Blair & Co. LLC: Well, that's what I figured because the tax rate's not all of it, so perhaps just some conservatism built in.
Greg Peterson - Director-Investor Relations: Larry, if you look at also, in the current quarter, about half of the beat this quarter was a function of effective tax rate, about 26% versus low 30%s that we had talked about. So half of the beat this quarter, and if you add in a higher tax rate, we're not that far off from the outperformance this quarter.
Lawrence De Maria - William Blair & Co. LLC: Okay. And then on the production?
Greg Peterson - Director-Investor Relations: On the production side...
Lawrence De Maria - William Blair & Co. LLC: Yeah, it looks like it was down less than expected 2Q and it's up sequentially, which it wasn't expected to be. I'm just curious what drove that, which regions, and why do we produce more?
Greg Peterson - Director-Investor Relations: Yeah.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: We had a little higher production than expected in our Europe business. We did a little more in a couple factories, and we extended our shutdown, and lower production in the second half, to provide us a little runway room for some new products going in in the second half in some of our factories. And so, it was more of a timing and planning around the production schedule than anything else.
Lawrence De Maria - William Blair & Co. LLC: Okay. Got it. Thank you.
Operator: Your next question comes from the line of Joel Tiss with BMO. Your line is open.
Joel Gifford Tiss - BMO Capital Markets (United States): Hey, guys. How's it going?
Greg Peterson - Director-Investor Relations: Morning, Joel.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Hi, Joel. So far, we survived.
Joel Gifford Tiss - BMO Capital Markets (United States): That's good. Was all the growth in China, was that just stocking dealers, or was that real demand behind that 23% growth?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: That's real demand.
Joel Gifford Tiss - BMO Capital Markets (United States): And then when – under the covers there, when you introduce new products, they're probably expecting it's going to be a little bit better for the mix over time. Is that going to – do you have to adjust the inventories down, or that's been a process you guys have been working on? And do we get a boost right away from pushing some of that product into the channel, or is that more blended into the numbers already?
Greg Peterson - Director-Investor Relations: Joel, a lot of the growth that you're seeing in China this quarter, and really some this year, is GSI, so not all of that is related to the small tractors we're making in China. In fact, most of the production from the plant in China's going to other markets outside of APAC. But in terms of inventory, as we do ramp up the business in China, there will be some inventory build, obviously, to support the dealers, but that's not a very big part of our production plan over the next year or two.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yeah, we just come from a board meeting in China where we showed the board our investments, and I can tell you that we are very proud of what we achieved. We basically have a state-of-the-art tractor assembly factory. In theory, we could assemble there Fendt tractors, it's an improvement versus the Fendt factory. So that means we are really, in the area of manufacturing, we are really a top leader in our industry. We were in a position to recruit and hire 1,500 people which is, of course, a huge job to do, and our HR people really did a great job here. So that means we have the factory, we have the people, and now, I think there's an easy part, which is basically the export business from China to our existing markets, because we have distribution and we just – let's say people are pulling, so to say, the new product out. When it comes to China, that's a longer process because distribution is difficult, China is huge, and that will take some time.
Joel Gifford Tiss - BMO Capital Markets (United States): Okay. And then, I just wanted to ask about – maybe more for Andy. Can you just give us a little thumbnail of some more of the levers that you guys can pull if it turns out that we kind of get this same choppy, flat 2017 and even into 2018, just kind of a more medium term view of that?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: This is strategic, but Andy will answer. If that would be – let's say, if the future new normal would be different from what we think it should be, then, of course, you look into a little bit more aggressive activities. And we do that as a kind of engineering approach, so that means our manufacturing guys look into this and look into the possibilities of maybe merging the one or the other factory. I don't think that we will do it but we want to be prepared in case it's needed.
Joel Gifford Tiss - BMO Capital Markets (United States): Okay. Thank you.
Operator: Your next question comes from the line of Kwame Webb with Morningstar. Your line is open.
Kwame Webb - Morningstar, Inc. (Research): Good morning, everyone.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Good morning.
Kwame Webb - Morningstar, Inc. (Research): So I just wanted to say, so those are really impressive declines in dealer inventories year-over-year. Maybe if you can just kind of provide some color on how dealer incentive activity might have compared in the quarter versus the prior year period, and then any thoughts on what that might look like for the rest of the year.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Well, in these down market conditions, it's always the fact that the markets are very competitive for the deals that are out there. There's more competition. Its pricing and incentives are stronger. And so pricing's weaker and incentives are stronger. And so I think we'll see that for the rest of the year. I would say that everyone in the marketplace is being very responsible but it's very competitive as well.
Kwame Webb - Morningstar, Inc. (Research): Great. Thanks. And then just to follow up on the manufacturing going on in China. So, if I recall correctly, there was supposed to be a small tractor common platform export opportunity from there. Originally, I thought the opportunity was described as $50 million to $70 million of savings. One, were those numbers correct or wrong? And then just any thoughts on how you're performing relative to that initial plan.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: The numbers are right, and we are performing – we're pretty much on track. So it's basically the staggered (54:37) market introduction in the European markets, in South America and in North America. So this project is pretty much on track.
Kwame Webb - Morningstar, Inc. (Research): Great. Thank you.
Operator: Our final question comes from the line of Seth Weber with RBC Capital Markets. Your line is open.
Seth Weber - RBC Capital Markets LLC: Hey. Good morning. I just wanted to ask about some of the regional margin outlook. Given the commentary around weak Germany, do you think that EAME margins could be up 2016 versus 2015, is my first question. And then I guess in South America, revenues were up sequentially, but margin was basically breakeven or flat versus the first quarter. And you talked about a ramp expected here in the second half, do you think South America margins could approach what they were in 2015 for this year? Thanks.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. I think both comments are pretty accurate. Our Europe/Africa/Middle East, we're looking at flat to slightly down margins for the full year. And then in South America, looking, again, for the same thing, kind of flat to slightly down for the full year. So we do expect a fairly substantial improvement in our South America margins in the second half to get us there.
Seth Weber - RBC Capital Markets LLC: Okay. And is that a – that's both, I guess, production and mix getting better in South America?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: That's right. Yeah.
Seth Weber - RBC Capital Markets LLC: Okay. Great. Thanks very much, guys.
Greg Peterson - Director-Investor Relations: I'd like to thank everybody today for participating on the call and for your interest in AGCO, and I'd encourage you to follow up with me if you have additional questions. Thanks and have a great day.
Operator: This concludes today's conference call. You may now disconnect.